Operator: Hello, and welcome to the Centamin Results Call. [Operator Instructions] And just to remind you, this conference call is being recorded. Today, I’m pleased to present Andrew Pardey, CEO; and Ross Jerrard, CFO. I’ll now hand you over to Andrew Pardey. Please begin your meeting.
Andrew Pardey: Good morning, everyone, and thank you very much for taking the time to join me on this call. I’m joined on this call with Ross Jerrard, Chief Financial Officer. And what we’ll do is, I’ll take you through a summary, then Ross will go onto the financial section, then I’ll provide some more update on open pit exploration and close out from there. As we are all very well aware, 2018 was not a typical year for Centamin. We were faced with some tests at the management team and the operational team. And we had a lot of focused areas that we had to work through. As you have seen quarter-on-quarter, performance delivered in H2 was a demonstration of the good progress made in turning Sukari back to its steady state. We still have work to do, but the open pit performed very well and the underground is seeing improvement. Although we still do have challenges with our cascading stopes from the underground. There are plans in place, and there is direction and it is taking the right direction for improvement. Going forward, the year-end review. Gold production was 472,418 ounces. We put our guidance for this year of 490,000 to 520,000 ounces. Cash costs of production in 2018 was $624 and all-in sustaining costs of $884 an ounce. And with guidance for the year cash cost of production, $675 to $725 an ounce and all-in sustaining costs of $890 to $950 an ounce. As I said, 2018 was a challenging year for us. But we are working through the issues. The open pit is doing what the open pit should be doing. The underground, we have the challenges continuing with the cascading stopes, but everything is in place and the plan, the team to rectify those issues and get the underground back to being where it should be operating. So, guidance for 2019 is 45% in production in the first half of the year, 55% of the production in the second half of the year. Q1 will be a relatively low quarter for us between 105,000 to 115,000 ounces principally with the underground delivering less ounces in Q1. Open pit sulphide Stage 4 of the open pit is the major source of ore for the next three years and that, we keep saying, with the underground is tighter controls. We’ve appointed a lot of new personnel. We also have in the second part of the year, installation of the backfill plant so that we can backfill future stopes. Financial performance quickly. It was a solid cost performance. Successfully minimized cost inflation across the group, in spite of reduced production and fuel cost pressures. We generated positive cash flow at $63.4 million through what was an operationally challenging year. We still have a strong and flexible balance sheet of $322.3 million in cash and liquid assets with no hedging, no streaming. We are committed to shareholder returns and the total full year proposed dividend of $0.055 per share is returning 100% of the free cash flow from Sukari back to our shareholders. In spite of a difficult and challenging year, we’re still returning our excess cash flow to our shareholders. On the exploration performance as well, we’ve seen resource grades across the group with very successful results coming out of Côte d’Ivoire. We’ve also seen reserve replacements and reserve grades in the underground at Sukari as well. Open pit reserves are reduced slightly. That’s a combination of depletion from mining and also using a higher fuel price of the reserves to the open pit. But underground reserves have gone from in 2013; 520,000 now up to 800,000 ounces. So there’s been a cumulative reserve replacement of 1.3 million ounces from the underground. Sustainability performance, safety we’ve had a 73% decrease in the group Lost Time Injury Frequency Rate to 0.06 across the group. And also a reduction to 0.07 at Sukari, where we had two lost time injuries during the year. Despite achieving a zero harm target for the fourth consecutive year in Côte d’Ivoire in Q1 this year, sadly, we had a drilling contractor that lost his life after being attacked by a swarm of bees. It was a very, very unfortunate incident and we send our condolences to the family. Environmental side of things, we’ve had no major incidents year-on-year and we had a 33% reduction in overall incidents. We’re targeting a 50-50 recycled freshwater balance reducing water levels off the active tailings, downstream tailings dam facility. We also have a detailed 40-megawatt solar plant feasibility nearing completion, which will go a long way to reducing our diesel consumption and also reducing CO2 emissions and leading to a further cost reduction. On the education side of things, we’re also investing in the future. We’ve created two university grants, Undergraduate, Masters and PhDs, awarded to outstanding geology students, two in the UK and two in Alexandria, in Egypt. Okay. With that, I’ll quickly – I’ll hand back to Ross for the financial presentation.
Ross Jerrard: Thank you, Andrew. And I’ll refer you to Page 19 of slide deck. Overall, in terms of setting the theme, we have a robust financial strategy. We have a strong and flexible balance sheet of $322 million cash and liquid assets at the end of the year and this is after the payment of the $28.9 million interim dividend. Very important to us is reliable stakeholder returns. There’s been a sustainable dividend stream of $420 million distributed over the last five years. And importantly, we believe that the dividend returns will continue into the future. There are stringent cost management and capital allocations. Andrew has mentioned that we have been under cost pressures, but we routinely prioritize our capital allocation and are reviewing the cost base. Importantly, we have a self-funded organic pipeline. This next year, you’ll see $40 million allocation to exploration spend and it’s really underpinning the long-term growth and our asset portfolio. On Page 20, there’s a summary of the financial highlights. I’ll draw your attention to the net cash flow from operations. Even in a tough year, generating $223 million of cash has been very good. And importantly, that free cash flow number of $63.4 million, which is proposed to be fully distributed back to shareholders has been a good result in a challenging year. In terms of cost management on Page 21, we have benefited from the buildup of stockpiles that helped us this year. There’ve been improvements to the fleet scheduling and utilization across the trucks. We’ve had significant improvement in our warehouse stores inventories and working capital initiatives. And there’s ongoing renegotiation in terms of commercial terms with our contractors. So we’ve had some good wins in performance in 2018 addressing that cost base, importantly the quantum of our cash cost of production and all-in sustaining cost. So our cash cost of production of $289 million has reduced by 6% from last year. And equally, our all-in sustaining cost bracket of $420 million has reduced. Obviously, with the lower ounces produced and sold, that doesn’t impact in terms of our unit cash cost measures. Going into 2019, our guidance at $1250 million gold prices, cash cost range is $675 to $725 per ounce produced and all-in sustaining of $890 to $950 per ounce sold. Slide 22 summarizes the breakdown of the mine production costs. Costs have gone up 7% year-on-year. This has been primarily driven by the increase in mining rates and volumes. The key input there is mainly the fuel price where the fuel increased over the course of the year, and we benefited earlier in the year in terms of a lower fuel price. We’ve exited that – exited the year at close to $0.61 per liter and we’ve budgeted that fuel input going forward into 2019. The cost per ton metrics are relatively consistent with the volumes. And as mentioned, the various cost control programs that are underway and we’re confident that we’ll keep these costs under control into 2019. Slide 23 gives the summary of the various costs across open pit, underground and processing as well as their quarterly analysis, which I’ve already talked to you, but is there for information. Page 24 summarizes the cost base exposure. In terms of our group allocation, it’s very similar split across the various cost centers. I’ve mentioned the fuel increases importantly going into 2019. We are expecting to use a lot more fuel at that higher rate, which has been a primary driver of our cost base. There is a solar plant detailed design feasibility study that is underway. Andrew will talk to that. But rarely, in terms of our cost mitigation over the next couple of years, the implementation of the solar plant will significantly help and facilitate our cost base. There is a big focus on consumables and locally-sourced products. We have had exposure to the Egyptian pound. They are in inflationary pressures. More recently, we’ve seen that come back into check. But importantly, we’re managing that base and mitigating it as much as possible. Page 25 is a little bit of our summary of our capital allocation. The 2018 CapEx budget was $135 million, which included $22 million of greenfield exploration. We were able to slow that down. There was $10 million reduction in that CapEx spend in 2018. Importantly, as we go forward, that CapEx budget and the sustaining spend rate is very consistent at around $90 million a year. And we are very vigilant in terms of our capital allocation and the discipline in terms of those projects. Slide 26 gives an overview of our corporate responsibilities in terms of our allocations. It’s important that there’s a fair allocation across all the various streams. And importantly, you’ll see the quantum of funds that have paid both in terms of our EMRA partners in terms of profit share and royalties paid to date. So there’s an excess of $400 million that has been paid directly in terms of government and host countries, both in terms of royalty and profit share. As mentioned at the beginning in terms of our strategy prioritizing shareholder returns, it’s very important dividend policy. It’s very much at the forefront and distributing a minimum of 30% of free cash flow. And as mentioned, it’s proposed that we distribute another 100% of the free cash flow generated this financial year. Finally, in terms of concluding, Slide 28 gives a summary in terms of our robust financial position. Again, a very clean balance sheet, $322 million in cash and liquid assets. That’s after the interim dividend payout of $29 million. And we have no debt, no hedging, gold loans or gold streams. It’s very clean. And it’s important that we highlight that the shareholder return is sustainable. And we’re very proud of the fact that we’ve been able to distribute those funds. With that, I’ll hand back to Andrew.
Operator: Andrew?
Andrew Pardey: Hello, sorry. Just going back to the operations, Sukari is entering its 10th year of commercial production and it still has a very longtime list to go that’s on Slide 9. We’ve had the short-term issues we had in 2018. And then moving into 2019, we’re dealing with the underground issues and we’ll start to see production moving back up to what people expect from Sukari. Sukari is still – in Slide 10, it’s still a world-class asset. It’s a Tier 1 gold asset with greater than a 10-year mine life and production levels greater than 450,000 ounces of production. 2018, Slide 11 production summary, if you look at Q4 to Q3, you can see the reduction in ore tons mine, at Stage 4 is dropping down into the true sulphide material and they’re relative to increasing grade. And also through – from Q3 to Q4, work in the underground, on the scheduling and minimizing the dilution from the stopes, we did see an increase in the grade coming out of the underground in Q4. On the processing plant, we had record throughput through the year of 12.56 million, and this year we’re expecting to mill close to 13 million tons through the processing plant. And importantly, recovery as well, recovery was consistent at 88.7%. On Slide 12, the operational review. We’ve had significant operational turnaround and there still further improvements to come. We had the underground stope tonnages earlier in the year, the long-hole drill rig causing disruptions and a temporary suspension of stoping. We then came across the issue of the increased volumes from cascade stoping. We’ve addressed the long-hole rig that’s back and working. We have a second long-hole drill rig that is now also working down the underground. We’re reviewing alternative mining methods. The main – most of our stoping at Sukari is done top down, going – moving forward and it takes time to get through. It’s moving more into a bottom-up type stoping method and implementation of the stope-filled plant, which is now on-site, engineering work is underway to get that all in place and then relevant pipework put in, so that we can, in the latter half of the year, start commencing back going stopes, which will go a long way to minimizing any dilution from the underground. We’ve also implemented new software in the underground, the Deswik Software. So everything at scheduled in one package. That goes everything from exploration, drilling, through the grade control drilling, through the long-hole drilling for stoping sequence, hole up. So that is all automated and in one scheduling package. We are seeing good improvements. We still have a lot more work to do and the team on site underneath the General Manager, Raitt Marshall, the underground manager, the operations director, are all working very well and strongly to make sure that Sukari continues to deliver as people expect it to deliver. Everyone knows the open pit. It’s a long life, low-cost, bulk tonnage operation. It has greater than a 15-year mine life, with the update in the reserve grade in those 6.2 million ounces at a grade of 1.1 grams per ton from the open pit to be mined over a series of 7 stages. Current mining for this year until the next three years is Stage 4 for the sulphide ore coming from the north part of Stage 4 and the west wall of Stage 4. Stage 5 stripping will also be commencing this year, and that’s to mine down through the transitional zone while Stage 4 is a major source of the sulphide ore for the year. We had record movement on Slide 14. We had record material moved from the open pit last year of 77.9 million tons. And there was a lot of ore mined partly due to transitional area of 23 million tons. Of that 23 million tons, 11.1 million tons at 0.76 was delivered to the mill, 2 million tons at 0.37 to the dump leach – oxide dump leach and the other 10 million tons, which was into the earlier winter stockpiles. As I’ve already said, outlook, Stage 4 is the ore source – primary ore source for the next three years. Stage 5 stripping is commencing, so we don’t go through any issues with transitional in the future. That has been rectified. Mine grade at Stage 4 drops down into the porphyry year in the core. The orebody coming to the top of it – the happy zone which is the first place for the underground mine that the grades over the course of the year from the open pit will increase. Underground, as I said, we have mentioned before, the reserve – reserves and resources, we’ve got a measured indicator of resource of 1.6 million ounces at a grade of 6.8 grams per ton and the reserve has increased. It’s now 0.8 million ounces at a grade of 5.1 grams per tonne. So we have a rolling life of mine of five years for the underground. Again, it’s been year-on-year replacement of what we have mined. Production from stoping was 739,000 tons at a grade of 6.5 and ore from development was just over 500,000 tons at 4.5 grams per ton with a 60:40 stoping development split. If you look at Slide 16, you can see the key areas in the underground work program are circled. Ptah in the center there, production and development work. Amun, continuing on with stoping and also production and development work to go down freeze on top of the Horus Zone. And then on the left-hand side, Cleopatra. And you can see with the pit diagram, that area in there that’s targeted for further decline development over the course of the year and importantly further drilling to really prove up what we have in that Cleopatra, Antoni and Julius zones. Processing. Processing plant continues to perform very well. Year-on-year increase in throughput and, as I said, this year, the team is expecting to mill closer to 13 million tons through the processing plants. Okay, then moving across to the active growth pipeline on Slide 29. We’ve got organic growth, self-funded growth pipeline. In the near-term growth, we’ve got Sukari underground. We’ve also got Cleopatra decline extending down into the Antoni zone. It’s self-funded exploration and development. Sustainability. We have Amun and Ptah. We’ve resource extension drilling continuing to return very good results, underpinning the long-term sustainability of the Sukari underground mine. In longer term, we’ve got the ABC Project on the western side of Côte d’Ivoire, where we announced just last week the maiden resource. That’s basically 12 months worth of drilling that we had fantastic job from the exploration team. And then we also had the Sukari site wide for 2D & 3D seismic study to identify – due to seismics across the concession, identify what’s happening in the Sukari porphyry at depth and also identifying other structures that we can then target with systematic drilling to see what else we have on the concession and ensure and continue on with the long-term viability of the Sukari gold mine. In the medium term, Sukari underground has got Osiris and Top of Horus zone and the avenue run is the Doropo project where we now have over 2 million ounces in the indicated category. That’s an exciting project. We now have work underway to determine what we really have putting in the economics onto the project. And we expect to have a PEA in the second half of 2019, which is a very exciting project for Centamin. Moving on to the next slide. Everyone knows that Sukari is in the Arabian-Nubian Shield. A major, highly prospective, under-explored greenstone terrane. Sukari deeps, I have also talked about, the 3D seismic study that we’re going to undertake across the concession. If you do look at the diagram there, you can also see that there is a way from Sukari on the concession of this year, there’s Quartz Ridge, there’s Shu, there’s Horus, there’s Kurdeman, which are all with seismic work, which will go to identifying being out – as to key where the drilling needs to be done following up the targets identified. Underground. Unlocking the Sukari underground potential sustainability on Slide 33, Top of Horus. You’ve got that Osiris zone plunging to the north, but it also goes to the south as well. That’s a longer-term future of Sukari going down deeper, well and truly below the open pit. And in the near term, you’ve got the Cleopatra, Antoni and Julius Zones. As you can see from that hooped diagram, there’s still a lot of gold that needs to be tested and drilled and firmed up and potentially mined. The next couple of slides just show some of the examples of the intercepts that we’re seeing across Amun and Osiris. There are intercepts like 0.7 at 213 grams a tonne, 9 meters at 25 grams per tonne, 2 meters at 239 grams per tonne, 1.7 meters at 258 grams per tonne. As you can see, when you go through those interceptors, there’s a lot of high-grade intercepts that still need to be followed up with further drilling and further development from the underground. Already spoken about this, with Slide 35, the near-term growth, Cleopatra. Last year, most of our focus ended up being on Amun and Ptah with the issues we had in the underground, so we didn’t do us much development as we would have liked in Cleopatra. That development is well and truly underway. And if you look on Slide 35, you can see on the left-hand side, the Antoni decline coming down into the Antoni zone and then development levels being put out to drilling. And if the drilling comes up successfully, potentially stoping as well. West Africa growth pipeline on Slide 36. We’ve got our permits, we’ve got eight in Burkina Faso, and we’ve got 11 permits in Côte d’Ivoire where we had very successful exploration. And we’ve drilled over 358,000 meters of over-drilling, aircore drilling and diamond drilling across projects in Côte d’Ivoire. Doropo in the Northeast, and then the ABC Project on the western side of Côte d’Ivoire. With the Doropo Project, we’ve had a 58% resource growth. From the previous year, we’ve extended the main resource at Souwa to over 2.6 kilometers strikely. We’ve merged the Nokpa and Chegue Main into one deposit through drilling, and two new resource at Enioda and Tchouachinin that were identified over the course of the year. So 2019, the strike extension drilling to be done on Souwa-Nokpa, filling the gaps between Nokpa and Chegue Main, and also then also doing the – looking down – dip-down plunge potential on the deposits and also following out – moving out from the 7-kilometer radius moving out to look at the other targets sort of 10 and 15 kilometers out from the Doropo core. As I said, updated Slide 38. There’s 2.13 million ounces and that’s all sitting within the 7-kilometer radius. This is all maximum depth at 250 meters. It’s – well, all three are very, very amenable to open pit mining based around the CIL plants. Then Slide 39. It shows – you can see the circle with Doropo resources set. Then moving out from that, you can see the older results, you can see 15 kilometers out, there’s one highlighted structure. And then third route, there’s another highlighted structure that the team will be following up with drilling, while also continuing on the infill drilling at Doropo to continue to prove up additional resources and look at the PEA study and getting reserves. On the western side of Côte d’Ivoire, Slide number 40, greenfield exploration on the ABC Project that was a newly discovered Birimian greenstone inlier with maps greater than 60 kilometers of permit area. And then what that’s shown on the Kona permit, we had greater than a 23 kilometer continuous surface gold anomaly, and we announced the maiden resource of 650,000 ounces with 65% of 2018 drilling at Kona. So that is very exciting. Still early stage between the site we’re drilling and we expect to also see substantial resource growth coming from that project on the western side of Côte d’Ivoire. So 2018, there was 25,000 meters drilled successfully to find the maiden resource. And that resource is 19.6 million tons at a grade of just over 1, and 16.1 million tons at a grade of 0.87 in the inferred category. Preliminary met test work on the ABC Project has identified no major metallurgical challenges, with high recovery rates expected from conventional CIL drilling. 2019, there’ll be another 34,000 meters of drilling plans to look at resource growth and also new discoveries along that corridor. So in summary, Slide number 43, investment case. We’ve got strong fundamentals. We had the asset quality. Sukari is – even with the hiccups, is a Tier 1 asset has greater than a 10-year mine life. We have the financial flexibility. With cash and liquids, we have no debt, we have no hedging and we have no streaming. We’ve got the active growth pipeline internally to Sukari underground and one of Sukari reserve replacement. Sukari underground Cleopatra exploration and development, the Doropo prefeasibility study underway and ABC ongoing greenfield target generation. And importantly, with all of this, stakeholder returns, reliable dividend policy, a minimum of 30% of free cash flow and as you can see, for the last year, we didn’t have a fine for the excess cash flow. So we had returned 100% of the free cash flow to our shareholders, even in what was a difficult and challenging year for the operation. The key objectives, obviously, continue to optimize performance at Sukari with further operational improvements and driving increased production, return our excess free cash flow to shareholders, deliver on the Sukari solar project feasibility study, continue to unlock the underground with further reserve and resource grades, the Doropo prefeasibility study, the ABC Project maiden resource, and significant exploration target generation across the portfolio, both at Sukari with the seismic work that we’re going to undertake and then across our land holdings that we have in West Africa. Importantly, on the governance and sustainability, also continued downward trend in our group Lost Time Injury Frequency Rate. We had board succession program, appointment of three independent NEDs, one migrating to a non-exec chair, implement board approved local community initiatives, and proposing also this year the idea, a new remuneration policy to our shareholders. With that, I would like to say thank you for listening, and I’ll now hand back to the administrator and part if over for Q&A. Thank you.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of James Bell from RBC Capital Markets. Please go ahead. Your line is now open.
James Bell: Yes. Good morning and thanks for the call. Just two questions for me. [Audio Gap] it’s obviously disappointing to the market this morning. I just wanted, given this and the volatility of your recent production and the downgrades you saw last year, do you now think it’s time to provide a three to five-year outlook on aims at Sukari to maybe reassure on what the outlook is for growth volumes, grades and costs? And just secondly, on dividends, I appreciate you’re sticking to your policy on returns. But I just wondered if you still think keeping your own $250 million of cash on the balance sheet is really the best use of this capital. Would you consider higher returns if no investment opportunities came along? And what’s your thinking on that? Thank you.
Andrew Pardey: James, you dropped out for about a minute when you were talking at the front. I’m not sure if – Ross, did you hear what James was saying?
Ross Jerrard: No. There’s a couple of seconds that he dropped off. But certainly got the gist of the three- to five-year question and the dividend. Maybe I’d address the dividend question. Yes, in terms of the use of funds, we have 100% of free cash flow this year as part of discussion and the board decision. Certainly, there’s been a robust debate in terms of the discussion around the $250 million of cash held. We’ll be going back and looking at that again. We – if we don’t have an earmark in terms of where those funds will go, certainly capital allocation and whether that comes back in the form of a dividend or share buyback or other alternatives will certainly be confident, but there was a good debate on that.
James Bell: Okay. And, sorry, Andrew. My first question is more around a three- to five-year outlook. Obviously, things have changed a lot around Sukari over the last couple of years. So I just wondered on maybe giving the market better visible [Technical Difficulty)
Operator: Sorry, James, your line just dropped. Can you please ask that question one more time?
James Bell: The – my answering is pretty bad throughout the call. I’ll try again. So just in terms of the outlook for maybe the next three to five years, would you be willing to give that for Sukari given the volatility you’ve had in production and the downgrades last year and maybe to reassure us on volumes, grades and costs? Is that something you’d consider, Andrew?
Andrew Pardey: Well, look, James, going out and doing a five-year plan, I mean, a five-year plan is only a snapshot at one point in time. Given further drilling, Cleopatra, Amun, Osiris, et cetera, the important thing is to look at the year-on-year reserve replacements. So that in itself provides the underground is a long-term part of Sukari. And obviously, further exploration work, the 3D seismics, et cetera, generate more target generation. It also provides confidence in what is going on with the market. Would I be directly down at this point in time putting a three- to five-year guidance? No, I would not. That I’d be very, very open on half yearly, yearly progress and let the results speak for themselves.
James Bell: Okay. And just a quick one. Your COO, Mark Morcombe, joined endeavor last week. Are you…
Andrew Pardey: Sorry, James, you dropped out again.
James Bell: Operator, I’ll just leave my questions. The line is obviously not good enough.
Operator: Our next question comes from the line of Justin Chan from Numis Securities. Please go ahead. Your line is now open.
Justin Chan: My first one is just on the 5.8 times – 5 times strip ratio. Is that characteristic of what you expect going forward, given the ore body narrows? Or how much of that is due to Stage 5 stripping?
Andrew Pardey: Justin, the life of mine strip ratio has always been around 5.8 to 6:1. So now bringing the Stage 5 stripping forward is to ensure that we have a consistent delivery of sulphide ore to the processing plant, rather than going through issues we had last year early-on in the year for transitional material.
Justin Chan: Okay. And so is the – I guess, as a follow-up, is the 5.85 times for this year – is that all in included, I guess, in cash cost and all-in sustaining? Or is some of that going to be capitalized and expensed later on? And does the pre-stripping – is that included in the 5.85 times or is that in addition?
Andrew Pardey: Sorry, Ross. A - Ross Jerrard Justin, it’s all included. That we’re not – we haven’t budgeted to capitalize any of those amounts.
Justin Chan: Okay. And the 5.8 times number is inclusive of Stage 5 pre-stripping as well? Or is that...
Andrew Pardey: Correct, that is correct, that is correct. That includes Stage 5.
Justin Chan: Okay. That’s very helpful. And then in terms of just looking at Doropo and your thoughts on scope there, do you have an annualized aims target or do you have an annual throughput rate you’re looking at? And does that – I guess, if you could share what does that include in terms of inferred conversions?
Andrew Pardey: It’s too early stage. But generally, we’ll be looking at a processing plant. That’s around probably 3 million tons per annum capacity, and gold production somewhere in vicinity of at least 150,000 ounces a year. But it’s got to be cost-effective. We’re not going to rush in and do something if it’s not going to make money. We’re not just going to add ounces for the sake of adding ounces. It’s got to be quality over quantity. We want to deliver ounces at the lowest cost possible and importantly make returns for our shareholders easy.
Justin Chan: Okay. All right. Thanks very much Andrew and Ross.
Operator: Thank you. Our next question comes from the line of Dan Shaw from Morgan Stanley. Please go ahead. Your line is now open.
Dan Shaw: Hi guys. Just a couple for me. So – can you provide any detail on the grades you expect to hear with the guidance? If we assume reserve grades on the open pit in July is kind of significantly or certainly the low reserve grades from the underground, can you just give us a more detail around what might be driving that or what you’re thinking about currently? And then, I suppose a follow-up on James’ question, I think most of the sulphide have 550 ounces plus for you guys from Sukari. If not this year, then certainly kind of next year and beyond, is that still a realistic target you guys to hit within – for the next two years? Or can you not be confident by that? Thank you.
Andrew Pardey: Dan, the most important thing we have to do is get the Sukari underground performing where it should be and getting Sukari back at the 520,000 to 540,000 ounce run rate. And the way we’re going to do that, we have to deliver the results, so deliver – and have the confidence and see what we are doing. We know what the issues are with the underground and they are being addressed. The results will speak for themselves as they come through with the improvements in place.
Dan Shaw: Okay. And in terms of grades in the underground this year, still going to be negatively impacted them from – mostly from the dilution issues you’re having or is there anything else?
Andrew Pardey: Look, there is still – we are still dealing with the cascading stopes. But we’ve got better controlled in place to minimize the dilution that we are getting from those cascading stopes. But the other thing as well, we also are doing a lot more decline development, getting the declines further in front of production. So you’ll see lower grades coming out because decline development is generally in very low grade porphyry or even waste material. And we’ve also – we’ve Ptah, we’ve got the eastern side of Ptah and the western side of Ptah, there’s also long distances of development that have to be done to exercise areas. So again, that development is lower-grade material. So you’ll see development grades down around 3.5 to 4 grams per ton. And then stoping. Stoping, you will see grades coming from stoping above six grams per ton.
Dan Shaw: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Stoner from Berenberg. Please go ahead. Your line is now open.
Michael Stoner: Morning. Just looking into the reserve update, you mentioned last year that you might consider or there might be a high dilution of assumption going into the reserve. Grades look broadly unchanged. So has that happened? And is this kind of higher dilution you’re seeing in the underground already baked into the reserve grades? Or is it kind of a cut below the reserve grade?
Andrew Pardey: No. With the reserves of the underground, the dilution has been factored in. In some areas of reserves, it’s 30% dilution. I mean, what people need to consider, remember, when you’re applying dilution at Sukari, because you’re within the porphyry, you are diluting it with mineralized material rather than waste. But now all those reserves, all those stopes, depending on the stoping method, have dilution that varies from 15% up to 30%.
Michael Stoner: Okay. And can we read anything into the drop in the proven grade? Does that mean you’ve kind of mined through the highest-grade material that was in front of you and replaced it with slightly lower grade? Does [indiscernible] reiterate that?
Andrew Pardey: No. That’s just a function of really the mining methods and the dilution that we are applying to those areas of the mine.
Michael Stoner: Okay. And as you pull in the backfill kind of get the kind of better handle on dilution that you’re looking for in H2, could we then potentially kind of, a long way out – potentially see that dilution assumption reduce or is has it hit stay?
Andrew Pardey: That is correct. Once we can go through and we can get in place backfilling the stopes, that will have a significant impact on reducing dilution.
Michael Stoner: Okay. And then on this next cutback, as you mine through the transitional zone there, what kind of percentage of fleet will that potentially – that material will be through 2019, maybe 2020?
Andrew Pardey: Zero. The Stage 4 is providing all the seed we need for the processing plant in 2019 and 2020, which is in the core of the ore body.
Michael Stoner: Okay. So any material coming out of that cut back that’s mineralized will just be stockpiled?
Andrew Pardey: Correct. It’ll get stockpiled, potentially come with the main gate of the dump leach pad.
Michael Stoner: Okay. Perfect. And then what kind of time line are you now looking at for Cleopatra? You mentioned that it’s kind of – there was a bit less activity than you wanted almost in 2018. At what point, do you think we might get some clarity on the potential of that and heading into the Antoni zone?
Andrew Pardey: Later – look, later in the year, the big factors are pushing employers getting the development levels down and getting the drilling happening, the short-term drill holes happening on the Antoni, Julius and Cleopatra structures. Then that will really allow us to understand and determine what we have there from an underground point of view and also in open pit point of view. The drilling is critical. The drilling in Cleopatra at the course of this year, especially the next six months, is really what will drive Cleopatra.
Michael Stoner: Okay. Perfect. And then on Doropo, you said, you’re looking to the PEA back end of the year. What would you then do with that? Do you – given your cash position, do you have to push straight towards bankable studies? Or would you – kind of what the level of study would you do before then starting to think about construction decisions?
Andrew Pardey: Well, first of all, we do it internally and we discuss it with the board what is the best way we would fund any development should we go ahead. I mean when you start to construct the plant or a significant capital cost, but that construction doesn’t happen overnight. It’s been spread over a good two years by the time you order equipment, paying for, et cetera. So, you have got a timeframe, where you could potentially – you could use cash flow from Sukari after you paid a minimum of 30% dividend to shareholders or you could go down the other avenues as well maybe to fund it. So that’s where it needs to be done.
Michael Stoner: Okay. So no major cash call from that probably until late 2020 or 2021?
Andrew Pardey: Correct, that is correct.
Michael Stoner: Okay. Perfect. And the final one for me. On the open pit, you’ve kind of historically been mining more than you processed and stockpiling to optimize your feed grade. Now that you’re in kind of the core and better grade area that the ore body never compared. Can you expect that ore tons mined to reduce normalize to processing ton kind of volumes?
Andrew Pardey: It’ll be – the primary ore will be basically at the processing volumes of around 11 million to 12 million tons. But as you come down the porphyries of Sukari hill with Stage 5 coming down, you do generally pick up additional low grade ore, which would be going to stockpiles or to dump leach. And that’s just a function of the topography, where the hill and where the drilling has been. And that’s what we’ve always had. We’ve always generally picked up a bit more low grade ore on the core and the peripheries of the hill as the hill is brought down until you get it to the body level, which is the base of the hill and start the pit going down, below ground.
Michael Stoner: Okay. Perfect. And then just, I think, to finish off the question, James was going to ask. Does Mark’s departure as COO impact on any of the kind of optimization and improvement projects that you were running?
Andrew Pardey: We have a very, very strong General Manager in place; we have a very, very a strong operations director; and we have a very strong underground manager in place. We have a key team of people on site that are driving the project and driving the improvement to just carry underground.
Michael Stoner: Okay. Perfect. So we can take those and no impact?
Andrew Pardey: Yes. That’s correct.
Michael Stoner: Thank you, Andrew.
Operator: Thank you. Our next question comes from the line of Hunter Hillcoat from Investec. Please go ahead. Your line is now open.
Hunter Hillcoat: Hi guys. Three questions, please. Can you just clarify for me what total CapEx and total exploration number is for 2019, because I might be crossing over my numbers? Also the solar plants, can you give us some idea? I know that study is still in place. But just what a 40 megawatts sort of firm potentially cost? And whether that’s likely to be on balance sheet or off balance sheet? And the third question, as Andrew, you say, Sukari still is a potential to be 520,000 ounce, 540,000 ounce producer. That’s what you’ve always said you could see the operation going at. But on one of your slides, you usually had Sukari portrayed as a world-class asset with plus 500,000 ounce potential. And that’s now being dropped by 10% in today’s slides to 450,000. What should we infer from that?
Andrew Pardey: Well, look, when we say we’ve now dropped that, that’s just to reflect the year production that we had, because it was below 500,000 ounces. So to be totally open and transparent, we had to change that, and that’s the only reason why. Once Sukari is back doing above its 500,000 ounces, the slide will go back to the new one. But we’ve got to portray the information as it currently stands. Regarding – sorry.
Hunter Hillcoat: Yes, carry on.
Andrew Pardey: Regarding the solar plant, the solar plant – months ago I finished the study and we take it to the board for approval. But these days, the price of solar power has come down significantly. From two years ago, when we were looking at solar power, it was in the vicinity of $2 million a megawatt. Now we’re looking at costs of around $800,000 and even slightly below that per megawatt. And with the installation of the solar power, if we go ahead with it, it’ll also be done in a staged approach. We will fund – any funding for the solar power will be funded through PGM and we’ll use their cost recovery model like we did with – when we did Stage 1, 2, 3 and 4 at Sukari and recover that CapEx over a three-year period.
Hunter Hillcoat: All right. Okay. Carry on, yes.
Ross Jerrard: To help you out with the CapEx, sorry, so we’ve allocated $40 million to exploration spend. And is the sustaining CapEx of just under $90 million. Yes, in terms of the – so in that $40 million, some of that is sustaining. So there’s about $7 million that we classified as sustaining explorations so that’s probably where the crossover is.
Hunter Hillcoat: Okay, great. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Alan Spence from Jefferies. Please go ahead. Your line is now open.
Alan Spence: Thanks. Most of my questions have actually been asked. I’ll just follow-up. One, Andrew, at the end of your remarks, you mentioned a change in the remuneration policy. Just given the year we’ve come through, will you have a higher benchmark waiting toward operational metrics? Will you be tied more to the longer-term performance of the mind? Just wondering what the impacts are to the guys in the upper management.
Andrew Pardey: Well, I mean, yes. Remuneration has to be tied to performance of the operation. I mean, you can’t get rewarded if you aren’t delivering results and producing. So yes, the remuneration is very much tied to – a portion of it is very much tied to performance, production and importantly as well costs as you need to be producing efficiently and generating returns for your shareholders.
Alan Spence: I was just wondering if there’s any changes in that. I knew, obviously, there were some tied to the firm. It is a new policy. Is it just a repeat of the past one or are there any material changes?
Andrew Pardey: No. It’s a new policy that we’ll be coming out with the annual report information for the shareholders to vote on.
Alan Spence: All right. Thanks.
Operator: Thank you. And as there are no further questions, I will hand back over to the speakers for any closing comments.
Andrew Pardey: Okay. Thank you very much, everyone, for joining us on this call. We do appreciate your support we’ve been given through what has been a very challenging year. And you will – over the course of 2019, you will see Sukari improve and getting us back to where we should be and delivering gold at low cost. With that, I’ll say thank you very much. And if you have any further questions, please feel free to contact myself, Ross Jerrard or Alexandra Carse. Thank you very much.
Operator: This now concludes the conference call. Thank you all for attending. You may now disconnect your lines.